Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Carlisle Companies First Quarter Earnings Conference Call. [Operator Instructions] After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I’ll now turn the conference over to Mr. David Carlisle. Please go ahead. David Roberts, excuse me. Please go ahead.
David Roberts: Thank you, Christa. Good morning, and welcome to Carlisle's First Quarter 2015 Conference Call. On the phone with me is our Chief Operating Officer, Chris Koch; our Chief Financial Officer, Steve Ford; our Chief Accounting Officer, Kevin Zdimal; and our VP and Treasurer, Julia Chandler. Before I begin reviewing our first quarter performance, I ask that you turn to slide two, titled Forward-Looking Statements and the Use of Non-GAAP Financial Measures. This slide details the risk associated with investing in Carlisle Company. I strongly urge anyone considering an investment in Carlisle to read these statements in detail, along with reviewing the financial reports we filed with the SEC before you decide to invest in our company. Before we turn to slide three, let me say that we will be changing the conference call protocol slightly today. During the call, I’ll review the company’s overall performance, Chris will be reviewing our overall individual segment performance and Steve as usual will be reviewing our balance sheet and cash flow statements. Before I get into the details of the first quarter, I have to tell you how happy we are with the completion of the acquisition of Graco’s Finishing Brands. We affectionately call this acquisition a thousand day crusade, primarily because that’s how long it took us to close the deal. We hung in there for 1000 days, because we understood the value of this business. This will be our next CIT. We will work to scale the business and improve the operating profit. There is tremendous upside in the acquisition of Finishing Brands. With that said, let’s now turn to slide three. As you begin to review the information on slide three, you will see that our net quarterly sales were up 9%. 7% of our growth was organic while 4% or 25 million came from the acquisition of LHi. FX reduced our sales by 2% in the quarter. We feel that 9% growth in the quarter is exceptional, considering that the commercial roofing season had not yet kicked in the high gear and the weather in January, February and much of March made it difficult for our contractors to get our roofs in the quarter. Many of our contractors finished the first quarter with very healthy backlog and that should carry us through the second and third quarters with strong results. While CCM grew nicely in the quarter, our largest dollar and percentage contributor to growth was CIT. Quarterly sales were up 29% or $44 million, exceeding our expectations and estimates. Our large aerospace customers continue to ramp up their build rates, we also had other customer segments within CIT growing and Chris will discuss this with you later in the call. At Brake and Friction, we saw sales down 6%, all related to FX. CBS volumes were actually flat in the quarter. We still haven't seen any signs of recovery in the braking business and do not expect to see any in 2015. At Food Service, our sales were down 5%, due to soft international sales and decline in the sale of capital equipment to the healthcare industry. Healthcare equipment sales are usually lumpy as big dollar items for healthcare facilities are not made with any consistent cadence. Considering that the first quarter is not one of our busier quarters, I think our performance during that period of time speaks well to the strength of our commercial roofing and aerospace markets. Overall Company earnings for the first quarter were up 5%. Our margins were down 30 basis points, as a result of pricing actions at one of our large aerospace customers. We did see earnings leverage at Construction Materials which is the result of lower cost material and pricing remaining relatively stable. As I said in my opening remarks, the FTC gave us the approval to complete the acquisition of Finishing Brands which we closed on April 1st. The business will be the foundation of a new pillar and will be reported as Fluid Technologies in future quarters. EPS for the quarter was $0.59, 5% growth over the first quarter of 2014. Turning to slide 4, you'll see our first quarter sales bridge. Price had a negative 0.8% impact on sales as Accelerated Opportunity Capture went into effect at CIT on January 1st. Volume was positive 8.2% and acquisition of LHi contributed 3.9% to our growth. FX was negative 2.2%. By segment, you'll see that organic growth at CCM was 9%, CIT 12%, Brake and Friction was flat, and Food Service was down 5%. Slide 5 details our EBIT bridge for the quarter. Price and raw material were slightly positive at 0.3%, volume contributed 0.8%, while COS savings contributed 0.9%. On the negative side of the ledger, other contributed 2.3% of the decline, including other\mix, higher inventory cost at Food Service, Akron plant closing costs and other smaller one-time items, including last year's Thermax settlement gain. This concludes my review of Carlisle's overall performance. I'll now turn the call over to Chris, who will provide you more detail on each one of our segments. Chris?
Chris Koch: Thanks Dave, good morning. Please turn to slide 6, as we discuss our segment performance for the first quarter. Starting with Construction Materials, our largest segment, sales grew 7% in the first quarter. Foreign exchange fluctuations related to sales into Canada and Europe impacted CCM sales negatively by 2%. Given the harsh winter we had in parts of the US, the solid sales growth in the first quarter is a strong indication of the demand we’re seeing from new construction. Our reroofing demand should pick up in the second quarter as well as the weather improves. Currently, every indication points to a very good year for demand for CCM and commercial roofing. EBIT was up 15% in the quarter and margin was up 70 basis points at CCM, reflecting strong leverage. Raw material costs were lower in the quarter, we were able to essentially grow sales and maintain selling price in the quarter, while benefiting from a lower raw material cost environment. Turing to slide 7. Our CIT segment achieved sales growth of 29% in the first quarter. Organically, CIT grew sales, an outstanding 12%. Aerospace was up a very strong 12%. CIT also achieved strong results in its military product line, up 12% and test and measurement up 53%. Sales into the industrial markets were down 8%, reflecting the continued softness in this market. Within aerospace, demand continues to be high for in-flight entertainment and connectivity applications and we have significantly grown our business with another leading aircraft manufacturer. The 12% growth in aerospace is net of the selling price reductions that began in the first quarter from renegotiations with one of our largest aircraft customers. The acquisition of LHi contributed $25 million or 17% to CIT sales. CIT EBIT was up 12% for the quarter. On a margin basis, EBIT margin declined 260 basis points from the dilutive impact of the LHi acquisition and selling price reductions. Also, CIT margins from the prior year, included an almost $1 million gain from a settlement related to the Thermax acquisition. CIT maintained margin in the high teens this quarter through its continued success with the Carlisle operating system and strong organic sales volume growth. CIT successfully began shipments out of its new state-of-the-art factory in Nogales during the first quarter and CIT remains on pace for another record year. Turning to slide eight. Sales of CBF were down 6% in the quarter, almost all of which was related to foreign exchange. Without currency effects, CBF sales were flat to last year. Sales to the agricultural market were down 26%, mining was down 2%, and construction was up 1%. Efforts in generating new business and gains in some of our smaller markets allowed us to keep volume relatively flat for the quarter, despite the downturn in agriculture. CBF’s Q1 EBIT declined 11%, below last year’s first quarter. The fact that CBF was able to maintain close to a 10% EBIT margin, given the current market conditions and negative foreign exchange impact, demonstrated solid performance in the current environment. CBF took aggressive countermeasures beginning last year to reduce costs, resulting in $2 million lower SG&A costs this quarter. We expect 2015 is going to be another challenging year for CBF, but the business has taken significant steps in the area of cost reduction and new business development to improve upon its performance from 2014. Slide nine details Carlisle FoodService results for this quarter. Sales declined 5% in the first quarter, primarily due to a 12% decline in healthcare from lower capital equipment sales. Last year, CFS benefited from some large retherm equipment orders in the first quarter of 2014 that did not repeat this year. FoodService sales were down 2%, primarily due to lower international sales and Jan/San sales were up 3%. CFS earnings performance was down significantly with EBIT down 24% and EBIT margin lower by 250 basis points. The EBIT decline was due to lower sales volume and higher cost inventory that Dave mentioned earlier. This inventory was sold in the first quarter and will not carryover in upcoming quarters and CFS performance should improve throughout the remainder of 2015. Before I complete my review of the segment, slide ten provides a look into the profile of our newest segment, Carlisle Fluid Technologies or CFT. Integration activities with our newest segment commenced immediately after our April 1 acquisition close. I’m very familiar with this business from my ten years [ph] at Graco and I’m very excited about the outlook of this segment and the energy behind our new management team. We do not expect CFT to contribute EBIT or earnings in the second quarter as there will be transaction and inventory step-up costs, but we’re expecting CFT to contribute to our EBIT and net earnings beginning in the third quarter. This concludes my review of our segment performance in the first quarter. Steve will now review our balance sheet, cash flow, and working capital. Steve?
Steve Ford: Thanks, Chris. Good morning, please turn to slide 11 of the presentation. We ended the quarter with $744 million of cash on hand. As Dave noted, on April 1st, we ended our long crusade and acquired the Finishing Brands business for $590 million using our cash on hand. Following the Finishing Brands acquisition, we have approximately $150 million of cash on hand and continue to have all $600 million of availability under our credit facility, leaving us ample liquidity to further pursue our long-term growth objectives and return capital to our shareholders. Our balance sheet remains strong. We had net debt of less than $5 million at quarter-end. Following the Finishing Brands acquisition, our net debt to capital was 21% and we have a net debt to EBITDA ratio of one time, including Finishing Brands’ EBITDA. Turning to slide 12. Our free cash flow from operations for the three months ended March 31 was $30.4 million compared to $27.7 million for the first quarter 2014, a 12% increase. Turning to slide 13. Our average working capital as a percentage of annualized sales for the first quarter 2015 was 20.4%, a 70-basis-point increase from a 19.7% reported for the first quarter 2014 in part reflecting higher inventory to meet expected second quarter demand. And with those remarks, I'll turn the call back over to Dave.
David Roberts: Thanks, Steve. Christa, you want to open the floor for comments please and questions.
Operator: [Operator Instructions] And your first question comes from the line of Ivan Marcuse of KeyBanc.
Ivan Marcuse: Hi, thanks for taking my questions. Congratulations on the quarter. How much was your raw material basket, and roofing down on a year-over-year in the first quarter, what’s your expectations for raw materials for the rest of the year and roofings?
David Roberts: Hey, Steve, I’ll let you go and handle it, but Ivan, thank you for your comments. Appreciate it. Yeah, Ivan, we did have in the first quarter, we have got changes in standards and inventory cap variance that sort of partially mitigated the overall benefit. But raw materials standing alone were down about $8 million or $9 million year-over-year. And we are set up very favorably as we move here into the second quarter where we’ve told you in the past is this particular segment purchases about $850 million of raw materials that are petroleum-based and we expect the savings to be in a range of 5% to 10% and hoping that we are at that higher end of that range.
Ivan Marcuse: Thanks. And then in the Fluid, and the acquisition that you just made in Fluid Technologies, what’s sort of your expectation, is there any seasonality to think about in this business? And then also on top of that, you said this is your new CIT, including LHi essentially quadrupled sales over the past five years. So how would you – do you expect the same sort of growth rate?
Steve Ford: Yeah, Ivan, there is very little seasonality in the business. Generally, what you will see is toward the end of the year, you might see a slight bit of tail off, but it’s really well balanced over the four quarters. When I said the CIT comparison, yes, we plan on growing the business, we will have to do that through acquisition. I mean, we are right now aggressively looking for add-ons. What we get from Graco was an excellent applicator company with some pumping technology. We think we are going to expand in the pumping area, making it look more like Graco’s industrial business and we will drive to do that. Now, quadrupling the size, that might be a challenge, but certainly the growth that we saw and then the improvement in margin that we saw is our goal.
Ivan Marcuse: Great. Thanks for taking my questions.
Steve Ford: You’re welcome.
Operator: Your next question comes from the line of Matt McConnell with RBC Markets.
Matt McConnell: So, previously you guys talked about mid-to-high single-digit organic growth in Construction Materials. Based on the start to the year and the backlog that have you built, it seems like you might do better than that. Could there be upside to that forecast based on what you have seen so far this year?
David Roberts: Matt, there could be a bit of upside. I mean, I would hate to sit here and predict that that’s going to happen. Frankly, we are quite surprised with the strength in the first quarter. We knew it was going to be a good quarter, but then the weather hit and despite the fact that we had bad weather, we still had very good growth. Actually, we had superb growth in reroofing in the quarter, which would lead you to believe that there was a lot of repairs going on and so on because of the weather. But I would be very reluctant to predict that we are going to be much above very high-single digits or very low-double digit growth in that business.
Matt McConnell: Okay, that’s fair enough. And then on Liquid Finishing I know, you have been very clear that that’s going to be an important growth platform. What’s the timing of that? I know these are markets that you know really well, but do you need to spend six months or a year getting reacquainted with it or is there a pipeline now? Can you help us understand when you could see M&A growth there?
David Roberts: Yeah, we’ve spent 1000 days getting reacquainted, so we’re okay there. What we will end up doing is, we have some ideas from an acquisition standpoint. We have nothing that’s clearly going to pop in the next three months or four months. There are a number of things that still have to be worked before we have anything that we would add on. I think our objective initially is just to integrate them into Carlisle, focus on improving our operations that they have today and at the same time, we will have corporate developments working on acquisition opportunities. My guess is, it's going to take us a year to find anything to add on and that year will be spent trying to improve it.
Matt McConnell: Okay, great. And then on that topic of improving it, I mean it's operating at a low-20s margin right now. I know that's below Graco's level, but where is the low-hanging fruit or what are the near-term priorities there on the operational improvement side?
Steve Ford: Well, I think what we have to do is think about the business that really has been well-managed during the past three years, but really had no strategic management that was done during that period of time. The guys running the business did a superb job in keeping it going without any leadership basically. Graco was restricted from managing it and the folks again were trying to hold everything together during that three-year period. I think there will be some short-term improvements in operations themselves. I think that will start to help the margins. We have some other thoughts on as far as what we do from a machining standpoint, a variety of assembly applications, nothing yet that we can talk about. But there are some ideas that we've had and that’s frankly the management team had and just didn't have the opportunity to implement.
Matt McConnell: Great. Thanks very much.
Operator: Your next question comes from the line of Kevin Hocevar with Northcoast Research.
Kevin Hocevar: Hey, good morning, everybody.
David Roberts: Good morning, Kevin.
Kevin Hocevar: Can you comment on how pricing -- it looks like it was pretty flat in the commercial roofing business. Is that your expectation for the year or has pricing trended any lower as the quarter progressed or maybe in the April, do you expect pricing to be relatively flattish for the full year?
David Roberts: Yeah, actually that's why I held my breath when Steve started to talk about the raw material decline. I think there will be downward pressure as we go through the year. I think perhaps second quarter will be okay. But I think we will see some downward pressure as we get into third and fourth quarter. It's the nature of the beast when you are in a declining raw material environment. Now, I think we still will have advantage of raw materials that declined last year and we carried into this year, but I think there will be some downward pressure on pricing.
Kevin Hocevar: Got it. And the volumes did seem -- the organic growth seemed very strong in the Construction Materials. Was there any -- did you feel like you outperformed the market just because the checks that we are doing sounded like it wasn't as strong as your performance would suggest, so do you feel like you outperformed the market? Was there any -- well, I guess, do you feel you outperformed the market or was that pretty much how you felt the market moved?
David Roberts: Yeah, Kevin, just remember that last year's first quarter was really soft because of the weather, so we outperformed the market over a very soft quarter last year. But despite that we saw some -- again as I said earlier, we saw some real strength in EPM roofing which generally is the indicator of re-roofing business and TPO was strong as well. Did we outperform the market? If we did, it was just slightly.
Kevin Hocevar: Okay. And then, final question just, Steve, is, I look at the working capital as a percent of sales that was higher on a year-over-year basis and you mentioned building inventory for the expected demand in the second quarter. So wondering where you are building inventory, what product lines are you seeing strength. And are you expecting an acceleration in demand in these product lines in the second quarter? Just trying to get a sense for, I guess, where the inventory build is and where you are seeing that strength.
Steve Ford: Kevin, the inventory build is almost entirely Construction Materials and we are expecting a strong second quarter there.
Kevin Hocevar: Okay, great. Thank you very much.
Operator: Your next question comes from the line of Joel Tiss with BMO.
Joel Tiss: Hey, guys. How is it going?
David Roberts: Okay, Joel.
Joel Tiss: That's good. Just can we spend a minute on this LHi, how big is the market and the opportunity, how big is the market for your guys and sort of like can you frame the opportunity a little bit?
David Roberts: Chris, do you want to talk about that a bit?
Chris Koch: Yeah. I think as we see the serve market, we're probably in that billion range. And we look at the LHi acquisition as a great platform to begin to expand into that. Obviously, we've done some organic work in medical and that business we've done before LHi actually is growing at a pretty good clip this year, Joel. And so the LHi just brought us a bigger product suite, brought us more contact with new customers and greater penetration with some existing customers and has given us that platform to now expand into other capabilities within those markets, specifically with the wire and connector side.
Joel Tiss: Okay. Steve, can you help us on the accretion in Finishing, I'm sure you have a better idea certainly than we do on what the purchase accounting is going to look like? And can you give us any sort of a ballpark or any way that we can frame 2016 and as this starts to come together, the accretion?
Steve Ford: Well, we are still finalizing the valuation and all the purchase accounting. At a very high level, we are looking at about 700 basis points or so of additional amortization relating to goodwill and intangibles. So I think with that information, with the -- coming into the Carlisle fold with margins in the low-20s, subtracting the 700 or so basis points from that, we talked about the inventory step up which will prevent us from really generating any EBIT in the second quarter. For the back of the year, we are expecting margins in the low-teens range and based on that, we’ll generate our accretion. We were not incurring any debt for this purchase, it was all existing cash, so in our accretion calculations, there is no interest expense.
Joel Tiss: Okay, good, that's awesome. And then just lastly, can you give us a little more granularity on some of the actions that you guys are taking to help the accretion of both the Finishing business and a little bit on LHi also?
David Roberts: Yeah. Probably easier to talk about LHi initially. We -- on day one basically, we began running the COS activities there. Keep in mind, as Chris said earlier, that business grew very nicely under the previous ownership. What they were doing though was really throwing manpower at the growth, so they were doing anything to automate or streamline their operations. So what our folks have been focused on is streamlining operations, attempting to make them more efficient and I think our headcount there is down about 100 people during that period of time. The good thing is it's been all transition, people leaving and just not filling positions. So we've not had to take any large reduction in forces, but we’ll continue down that line to reduce the number of direct labor in the operation. That's at LHi. And Fluid Technologies, I think it's going to be more of a look at what we are manufacturing and what we're purchasing outside, we -- Chris and I at Graco learned very quickly that there is a lot of value add in manufacturing most of the products rather than sourcing most of the products and we will be looking in that area to capitalize on the machining expertise that Fluid Technologies has today and the machining expertise that we have at our Braking business. And there might be some combination of facilities being able to machine aluminum and that would be able to -- will be helpful for us there. So really there is nothing I can give you more than that and those are just the areas that we're looking at. We just don't have solid plans in place yet for Fluid Technologies that would suggest that we're going to be able to improve the margin X percent by a given date.
Joel Tiss: Okay, that's awesome. Thank you.
David Roberts: You're welcome.
Operator: Your next question comes from the line of Jim Giannakouros with Oppenheimer. 
Jim Giannakouros: Good morning guys.
David Roberts: Good morning Jim.
Jim Giannakouros: Question on your Interconnect, the legacy margins were 20%, I was positively surprised that you came in at 17% or north of 17.5% in operating margins this quarter, particularly with the contractual price down there. What exactly drove, I mean, I think that the margin experience was higher than you had kind of suggested earlier this year. What drove that and can we expect sequential improvement from here as you've indicated getting to a negative rate, potentially north of 20%?
David Roberts: Well, I don't think we'll be north of 20% this year and what really drove the improvement was volume. Our organic growth was up double-digits and anytime you put more volumes to the factory, that helps the margin rates, it was that more than anything, if the volumes continue at a level that they are, we should remain in this operating margin range and then I would think as we improve LHi, you'll start to see margins creep up but it's primarily volume.
Jim Giannakouros: Got it, okay. And then, if I understood correctly, you took down, you took down the CBS expectations for growth, top-line growth this year, was that a reflection of organic prospects and other agro mining or was it predominantly FX?
David Roberts: It was FX, more than anything. We had seen a little bit of volume growth and we're anticipating more than what we saw just listening to our customers, but we're convinced now as we look up, you know for the view that we have today of backlog, it's going to be relatively flat from a volume standpoint. And then with FX, you’ll see a negative impact particularly that weakens any longer, more than 50% of this business is outside the US, and that will drive -- FX will drive sales shortfalls.
Jim Giannakouros: So flat volumes and FX down. Pricing holding in?
David Roberts: Yeah, we're okay on pricing; we haven't seen any issues with pricing at this point. So we think that will hold. We think margins will be in the 9% to 10% range for the year. As Chris said earlier in the call, the guys running the business had done a very nice job in reducing their SG&A and we think that will continue for the year. So, we think margins will hold, volumes, I think volumes will be relatively flat going forward, unless there is another dramatic change in the currency exchange rates.
Jim Giannakouros: Okay, thank you. That's all I had.
David Roberts: You're welcome.
Operator: [Operator Instructions]. Your next question comes from the line of Tim Wojs with Baird.
Tim Wojs: Good morning.
David Roberts: Good morning Jim.
Tim Wojs: I guess two questions from me, one, I noticed you bought back just a minimal or a modest amount of shares in the quarter, and I guess, how are you -- if the M&A pipeline is kind of billing, how should we think of repurchase in our model through 2015?
David Roberts: The reason we only bought back a few shares Tim, is that we really didn't start until after earnings in February. So, we really only added for a little more than a month. So Steve, why don't you go ahead and talk about what our plans are and what we're doing?
Steve Ford: Yeah, so as Dave noted, we are buying back shares through 10b5-1 program and that was put in place after the earnings release, so we didn't the full benefit of the program in the first quarter. We spent about $9 million on a go-forward basis, I expect us to continue to be buying in the open market to the tune of about $15 million a quarter, which is sort of similar to what we are paying out in the dividend. It's not a much more aggressive program than that Tim, we're looking to sort of just maintain share count, avoid the dilutive impact of equity awards and maybe take this account down a little bit, but on a go-forward basis, I think you can expect us to be buying shares back to the tune again of about $15 million a quarter.
Tim Wojs: Okay, that's helpful thanks. And then, I guess just a bigger picture question, in the CCM business, have you seen over the past couple of years or I guess going forward, do you see more content on roofs, and I guess, how should we think of that as a benefit to growth over time?
David Roberts: No, there is really no more content on the roof other than a new construction. There is additional insulation that’s being sold in some areas, but no, the content is what we’ve seen. We’ve got obviously membrane insulation and the accessories that go on via the roof and it really hasn’t changed. Now, keep in mind, we’ve -- we opened our new TPO plant in Carlisle, Pennsylvania, that’s now producing product and that’s going to serve the northeast for us. We’re starting to see more and more companies move to TPO roofing in northern climate as compared to EPDM. We continue to counsel them that EPDM is a better roof up there from an energy standpoint, yet they -- the architecture moving towards TPO.
Tim Wojs: Okay, great. Well, thanks for the help, I appreciate it.
David Roberts : You’re welcome.
Operator: Your next question comes from the line of Neil Frohnapple with Longbow Research.
Neil Frohnapple: Hi, good morning and congrats on a great quarter.
David Roberts: Thanks, Neil.
Neil Frohnapple: Impressive sales growth within CCM during the quarter and I believe you’re up against a very difficult comp in Europe as well. Any way to quantify what you saw organic in Europe in the first quarter and able to break that change down between organic and FX?
David Roberts: Steve, you have that information in front of you?
Steve Ford: Yeah, organically and excluding currency, we were relatively flat. So, the -- we were down and the decline was all attributable to the Europe year-over-year.
Neil Frohnapple: Okay. And then any color Dave, you can provide on just kind of the outlook for that business this year? I know there is a secular penetration story for EPDM. Just any thoughts there on what you’re seeing just from an underlying end market demand standpoint?
David Roberts: I don’t think it’s going to change much. I think that we will see the migrations at EPDM. We may see growth minus FX that would be in the mid-single digit area. I don’t think it’s going to grow much more than that, but we will see growth.
Neil Frohnapple: Okay. And then, sorry if I missed this, have you guys laid out any sort of CapEx requirements for Fluid Technologies in 2015 and beyond? I’m just trying to think about what we should be modelling from like a maintenance CapEx standpoint.
David Roberts: Yeah, we haven’t yet. Honestly, I think that if you look at our capital spending over the last few years, I think even with Fluid Technologies, you see that capital spending come down a bit. I don’t think it’s going to require a significant amount of capital. We’re going to spend probably $100 million this year, which is basically all maintenance CapEx, I would think would be in that range going forward.
Neil Frohnapple: Got it, okay. And then just last one, within CIT, did you realize any incremental revenue in the quarter from the contract win with one of your customers, particularly with the startup of the Nogales, Mexico plant, or will that really built from here?
David Roberts: Best way to answer that is one, yes, we did. That will drive [ph] some of the growth. We had -- obviously, we had the continued ramp up of the Boeing aircraft and then some additional Airbus work.
Neil Frohnapple: All right, thanks a lot guys.
David Roberts: You’re welcome.
Operator: You have a follow-up question from the line of Matt McConnell with RBC Capital Markets.
Matt McConnell: Great, thanks for taking my follow-up. Could you give us a little bit more insight into the higher cost inventory in FoodService and then I think that sounded like it was all finished in -- you’re on a nice path towards the low teens margin in that business, is that still the expectation and could you get back to year-over-year margin growth in FoodService next quarter and for the balance of the year?
David Roberts: Yeah, Chris, you want to take that?
Chris Koch: Yeah, let’s start with the expectations, yeah, I mean our expectation would be that that same -- that aspirational goal I think would be 15% there. That might be little bit high, but certainly getting back to that lower teens level that we’ve seen would be good and we’re working with a group to continue on those three platforms we’ve worked on. One is to grow the sales, which will obviously have an impact on the volume and the factors Dave mentioned earlier in CIT with more volume obviously better leverage. We’ve worked on factory consolidation and then we’ve worked on operational efficiency. We still continue to see opportunities there. So, there is still opportunity to expand the margin. And on the inventory, we really had a reduction in inventory in the fourth quarter and there was just unabsorbed costs that were attributed to that inventory and then came out in the first quarter. So pretty simple story there related to reduction in inventories.
Matt McConnell: Okay, great. Thanks very much.
Operator: At this time, there are no further questions in queue.
David Roberts: Thank you, Krystal. I will go ahead and wrap up the call then. As we prepare to end the call, let's turn to slide 15. As we enter the second quarter, our outlook for 2015 remains positive. Nothing has changed in our markets that would suggest anything different. We expect the consolidated FX impacts to remain manageable, as close to 85% of our sales are in US dollars. FX, however, is expected to negatively impact CBF and now CFT, as both businesses generate more than 50% of business outside the US. For the remainder of the year, I expect CCM to benefit from a strong non-res new construction market, a healthy re-roofing market and lower raw material cost, both in the US and in Europe. Sales should grow high single digits and earnings is expected to be leveraged with that sales growth. How much earnings will grow is dependent upon what transpires with obviously the oil-based material costs and the sustainment of pricing. As of today, 2015 is stacking up to be a very good year for construction materials. And CIT sales should grow in the 20% range which includes the acquisition of LHi. LHi should contribute approximately $80 million in sales in the final three quarters of the year. EBIT will grow, but will not be levered at the same rates as the sales growth due to the AOC program and the influence of LHi's lower margins. Despite that, we expect margins to move upward by year-end. At CBF, we continue to plan for flat revenues for the year. Margins should be in the 9% to 10% range for 2015 as well. Despite the sales downturn at CFS, in the first quarter, we expect low single-digit growth for the full year and margins will be in the 12% to 13% range by year-end. Sales at CFT should be slightly above $200 million for the full year, but as Chris said earlier, CFT will not contribute to the company's earnings in the second quarter primarily due to purchase accounting. Whilst purchase accounting adjustments are depleted, I expect this business to contribute margins in the low-teens initially and then ramping up toward the end of the year. Once the business is blended into Carlisle, and we see the full impact in COS, this business is expected to begin to produce 20% margins out over the next couple of years. Overall, company sales are expected to grow organically mid-to-high single-digits. We are also planning for EBIT dollars and EBIT margins to show improvement and will be leveraged through our sales growth. If we are able to hold price at CCM and raw material costs remain at the current levels, margins could show very favorable leverage. We expect the acquisitions of LHi to increasingly contribute to earnings as we implement COS and integrate the business. Corporate expenses will be approximately $57 million, which includes transaction costs for CFT that will be incurred in the second quarter. D&A will be approximately $118 million, cap expenses will be $100 million, free cash flow conversion will be approximately 100%, interest expense will be approximately $34 million and the planning tax rate is going to be in the 33% range. This brings our call to a close. I want to thank you for attending the first quarter conference call and we look forward to reviewing our results with you in July of the second quarter. Christa, you may now end the call.